Operator: Thank you for standing by, and welcome to the Issuer Direct Corporation Second Quarter 2022 Earnings Conference Call.  Today's call will be conducted by the company's Founder and Chief Executive Officer, Brian Balbirnie; and its Chief Financial Officer, Tim Pitoniak. Before I turn the call over to Mr. Brian Balbirnie, I'd like to read you the company's abbreviated safe harbor statements. I'd like to remind you that statements made in this conference call concerning future revenues, results from operations, financial positions, markets, economic conditions, product releases, partnerships and any other statements that may be construed as a prediction of future performance or events are forward-looking statements, which may involve known and unknown risks, uncertainties and other factors, which may cause actual results to differ materially from those expressed or implied by such statements. Non-GAAP results will also be discussed on the call. The company believes the presentation of non-GAAP information provides useful supplementary data concerning the company's ongoing operations and is provided for informational purposes only. With that said, Mr. Balbirnie?
Brian Balbirnie : Thank you, operator. Good afternoon, everyone, and thank you for joining us today to discuss the company's second quarter 2022 results. At the market close, we issued a press release announcing our results for the quarter, a copy of which is available at our newsroom. During today's call, we will be referencing these results as well as discussed in the second half of this year. Our second quarter results were up 2% year-over-year, reaching a new record high for quarterly revenues. We also drove margin improvements, increased our deferred revenues and bookings over the prior periods, which Tim will cover early. ACCESSWIRE's double-digit growth continues and compared to the market, we continue to outpace incremental growth compared to the bigger 3 newswires in the second quarter. During the call today, we will update you on our product mix, customer counts and overall progress in our platform. But before I turn the call over to Tim for his prepared remarks for the quarter, I want to provide an update on the company's recently announced repurchase plan. On March 5 of this year, the Board announced a $5 million repurchase plan. In the first quarter, we were able to repurchase 6,200 shares or about $182,000. And in the second quarter, we were fully in the market and repurchased 163,000 shares for approximately $3.9 million, leaving just less than $1 million remaining at the end of the second quarter in the plan. We are continuing to repurchase our common shares under the plan with the remaining allotment subject to limitations and plan totals. We expect to complete the plan early this month and are evaluating further repurchase plans in the near term. As I said in the past, we believe share repurchases are a good use of capital as part of our diversified capital allocation strategy. Long term, we remain confident in our business and our cash flows generated from operations. Repurchasing is an ideal way for us to reward our shareholders. And with that, I'll now turn the call to Tim.
Timothy Pitoniak : Thank you, Brian, and good afternoon, everyone. As Brian mentioned, we were able to reach a new record high for quarterly revenue as well as improved gross margin. This was primarily driven by our ACCESSWIRE news brand as revenue and gross margin improved for the 3 and 6 months ended June 30, 2022. I will now highlight some of the financial results we achieved during the second quarter and first 6 months of 2022. During the second quarter of 2022, we achieved record quarterly revenue of $5.8 million, a 2% increase from $5.7 million in Q2 of 2021. For the 6 months ended June 30, 2022, total revenue was $11.1 million, a 4% increase from $10.7 million for the first half of 2021. The increase for both periods was primarily driven by our communication revenue stream which increased 5% and 6% during the 3 and 6 months ended June 30, 2022, compared to the same periods of the prior year. During Q2 of 2022 and for the first 6 months of 2022, communication revenue accounted for 64% of total revenue. In the prior year, communication revenue was 61% and 63% of total revenue respectively. The increase in communication revenue was driven by our ACCESSWIRE branded newswire, which increased 16% for both the second quarter and first half of 2022 compared to the same periods of 2021. We also had increased revenue from our investor relations website and news feed products. These increases were offset by a decline in revenue from our events and webcasting business due to lower demand for these products. Revenue from our Compliance business was down 4% for the second quarter and flat during this first half of 2022 compared to the same periods of 2021, a decline in revenue from our stock transfer services due to less corporate actions and a reduction in our legacy ARS services was partially offset by an increase in revenue from our print and proxy fulfillment services due to increased projects associated with annual meetings and special transactions. Changing gears to gross margin. Our overall gross margin percentage improved 300 basis points and 400 basis points during the 3 and 6 months ended June 30, 2022, compared to the same periods of the prior year. Gross margin percentage was 77% for both the second quarter of 2022 and the first half of 2022, compared to 74% and 73% for the same period of last year. Gross margins from our Communications business increased 5 percentage points for both the quarter and first half of 2022 due to lower teleconferencing and distribution costs, coupled with the increase in ACCESSWIRE revenue as a percentage of total communication revenue. Gross margin percentages for our Compliance business decreased 1 percentage point for the 3 months ended June 30, 2022, and increased 1 percentage point for the 6 months ended June 30, 2022 compared to the same periods of the prior year. The decrease for the second quarter was due to higher percentage of revenue attributed to lower-margin print and proxy and fulfillment service business. Moving down to operating income. We posted operating income of $1.2 million for the second quarter of 2022 compared to $1.4 million during Q2 of 2021. For the 6 months ended June 30, 2022, operating income decreased to $1.8 million from $2.1 million during the first half of 2021. The decrease in operating income, despite an increase in revenue and gross margin is due to an increase in our operating expenses primarily due to our continued investment and expansion of our corporate sales and marketing teams. GA cost increased 24% and 22% for the 3 and 6 months ended June 30, 2022 compared to the prior year due to an increase in stock compensation and other corporate initiatives associated with the investments in our business. Sales and marketing costs increased 13% for the second quarter and 15% for the first half of 2022 compared to the same periods of 2021 due to our continued investment in sales and marketing initiatives, with an increase in head count, advertising and digital marketing expense. Product development cost decreased 16% for the quarter and 3% for the first half of 2022 compared to the same periods of the prior year. This decrease is due to fewer consultants used on development projects during the current year, partially offset by costs capitalized in the prior year related to the development of our newsroom product. On a GAAP basis, during Q2 of 2022, we generated net income of $841,000 or $0.22 per diluted share compared to $1.1 million or $0.29 per diluted share during Q2 of 2021. Net income was $1.4 million or $0.36 per diluted share for the first half of 2022 compared to net income of $1.7 million or $0.43 per diluted share for the first half of 2021. Looking at some non-GAAP metrics. EBITDA for the second quarter of 2022 was $1.3 million or 23% of revenue compared to $1.6 million or 29% of revenue during Q2 of 2021. For the first half of 2022, EBITDA was $2.2 million or 19% of revenue compared to $2.6 million or 25% of revenue during the first half of 2021. Non-GAAP net income was $1.1 million or $0.29 per diluted share for Q2 of 2022 compared to $1.2 million or $0.31 per diluted share during Q2 of 2021. For the first half of 2022, non-GAAP net income was flat compared to the prior year at $1.9 million, however, increased $0.01 per diluted share due to shares repurchased through our 2022 buyback program. Switching over to the balance sheet and cash flow statement. Our deferred revenue balance, which is revenue we expect to recognize primarily over the next 12 months, increased to $3.5 million as of June 30, 2022, compared to $3.1 million as of December 31, 2021, an increase of 13%. On the cash flow statement, our cash flow from operations for the first half of 2022 was $1.6 million compared to $2.1 million in the prior year. This is the 30th consecutive quarter of positive cash flow for the company. I'll now hand it over to Brian, who will provide some updates on the business, our new products and everything else we have planned for the remainder of the year. Brian?
Brian Balbirnie : Thank you, Tim. The second fiscal quarter produced another record quarter in revenues in our 16-year history. Although this is a milestone, we are focused on process improvements, further operational efficiencies and marketing changes to guide the business through these interesting times. Last quarter, I spoke about margin improvement for the remaining part of the year. Q2 delivered increasing margin percentages by 300 basis points over last year, delivering another quarter at 77% total gross margins. From a customer count perspective, we ended the quarter with 3,715 customers, up from 3,483 in the prior quarter and essentially flat over the prior year. Again, these customers reported are ones that were active in our platform and contributed to revenue during the period. And in our Subscription business, we finished the quarter up 20% to 966 from 804 customers subscribing to our products. Additionally, we have continued to drive average revenues per customer from the $6,200 range last year to $7,165 this year in the quarter. Of the 966 subscribers accounted, they accounted for approximately 30% of our overall revenues for the quarter. And on a stand-alone basis, ACCESSWIRE accounted for approximately 45% of total revenues. As Tim just said, ACCESSWIRE revenues grew 16% for the second straight quarter, albeit down from prior quarters in growth, we will continue to monitor reductions in volumes across the industry, something we believe is short term. When budgets tighten, part of our business is susceptible to immediate sways in volumes, which can affect results. However, if markets do, in fact, continue recessionary ways, we will see budgets become a driver in the decision of selecting a new vendor or a partner, something we have seen in 2008 and briefly in 2020, which our business has benefited from higher revenues, increased customer accounts and sustained cash flows from operations in those periods. I have a great deal of confidence in our team and in our products, while we clearly understand for a good portion of the business, the capital markets do drive a lot of activity. Our overall long-term outlook is optimistic in our Communications business, specifically our newswire ACCESSWIRE and our core IR products that power websites and earnings events. During stay-at-home orders and hybrid periods, we did benefit from revenues in our events and webcasting business. But like our competitors, this is returning to pre-COVID levels. In fact, based on publicly available data, we're seeing some of our competitors experienced dramatic drop-offs in demand that is affecting their businesses in several ways. Thankfully, we have a diversified product lineup and that shift has not impacted us as much. Driving results in our new business team is paramount to our growth, both short and long term. This quarter, our new logo team or our business development team drove over $850,000 in new contract value. We also saw really good improvements in our client services team who manage our customers, cross-selling and upselling an additional $750,000 in new business for the quarter. And because of this, we still remain just over 15% market share in the Russell Microcap Index. We also have seen revenue expansion in large cap customers like Moderna and new wins in the mid-cap space for marquee customers like Insperity and no before. Moving along to our products and platform. We have made considerable progress in our ADA compliance, both in our Pro versions of our IR website business as well as our newswire ACCESSWIRE. We are weeks away from becoming the first major newswire in North America to produce 100% compliant content from our ACCESSWIRE platform. We have been in conversations with several ADA software platforms and have them independently score our newsrooms and articles against Business Wire, PR Newswire and GlobeNewswire. This is a major milestone for us, and we are fully committed to not only furthering our product innovation, but also the reliance that our customers place in us giving them the confidence they have selected the right partner for today and the future. This now makes ACCESSWIRE a SOC 2 Type 2 and ADA compliant newswire that is approved, partnered and/or integrated with all 5 major exchange in marketplaces in North America and the U.K. You will see further product announcements here in the coming weeks as we further roll this out. ADA is also part of our IR platform, as we talked about last quarter. This feature and integration is a requirement and a must-have product feature for our customers. It's like an insurance policy for compliance related to compatibility issues something that hundreds of our customers using this service depend on and expect from a best-of-breed solution. The byproduct for us is expanded subscriptions for our customers that opt to be proactive, which will result in our IR product revenues growing by a range of mid-teens to 20%, something we're beginning to see here in the third quarter. This is a reoccurring additional revenue stream, not a onetime services engagement. Another product enhancement coming at the end of Q3 is our planned upgrade to our analytics and dashboard tools. We have been able to improve engagement visibility down to the source, also allowing our customers to compare their engagement against their peers by industry and our network. And another example, we are updating our social connections to pull better social media analytics and also looked at several more platforms in the coming quarters. The driver for this is in response to our current customers and what our prospects are saying about the competitors and what they want to see in their management dashboards and reporting tools from us. Delivering on this should allow us to increase customer stickiness and sell-through of other related products and solutions. From a corporate perspective, the first half of the year has yielded us both a DEI and ESG policy. I encourage you to review these policies both on our corporate website. Both initiatives will continue to evolve over the coming years that will be driven from our shareholders, employee base and customers. In closing, we still see real opportunity in our installed base. I personally think that we are well positioned to weather what is becoming a dynamic environment. If customers need to do more with less, we are here for them. We are going to continue to invest in our business, but should budget belts need to be tightened, we stand ready. Importantly, we took share newswire again this quarter and increased customer subscribers in our platform, both year-over-year and sequentially. Increased average revenues per customer. As we look to the future, our second quarter results continue to demonstrate our ability to manage our business effectively despite the challenging operating environment. Thank you for your time today. It is always a pleasure talking to you about our results and where we're headed. Operator, could we please begin the Q&A portion of our call?
Operator:  First question is coming from Mike Grondahl from Northland Securities.
Luke Horton: This is Luke on for Mike. Congrats on the solid quarter. I just wanted to touch -- I just wanted to touch here first on the European expansion. I think last call, you guys had mentioned maybe by midyear this year with the European expansion and then as well as into Asia Pacific and South American regions by late '22. Just any updates there? And is that still in the works?
Brian Balbirnie : It is. Absolutely, we're on track and completing the final testing with a couple of partners in Europe now. We'll move next to regulatory approvals with them, but it won't prevent us from beginning to market. And then in the late part of this year, we will begin Asia Pacific, APAC regions.
Luke Horton: Okay. Got it. And then just to touch on -- last call, you guys had mentioned that natural language processing testing, which was maybe going to start early in Q3. Any updates on that?
Brian Balbirnie : Yes, it's a good point. We didn't talk about it in today's call. The team continues to make progress. It's going to be a pretty big effort from a development standpoint to really narrow down the most important elements of what customers are going to need in the drafting process and help them to interpret and find different tonalities, likely something that we won't see in beta until early next year, but something our development team still is continuing to work through.
Luke Horton: Great. Awesome.
Operator:  And there were no other questions from the lines at this time.
Brian Balbirnie : Thank you. Sorry, as always, I appreciate it. Thank you to all of our shareholders and interested parties spending time with us today to talk about Issuer Direct's second quarter results. We look forward to talking with you again both in person and online on our next call. Have a great afternoon.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference. You may disconnect your lines at this time, have a wonderful day. Thank you for your participation.